Operator: Welcome to the LeMaitre Vascular Q4 2024 Financial Results Conference Call. As a reminder, today's conference is being recorded. At this time, I would like to turn the call over to Mr. J.J. Pellegrino, Chief Financial Officer of LeMaitre Vascular. Please go ahead, sir.
J.J. Pellegrino: Good afternoon and thank you for joining us on our Q4 2024 conference call. With me on today's call is our CEO, George LeMaitre; and our President, Dave Roberts. Before we begin, I'll read our Safe Harbor statement. Today, we will make some forward-looking statements within the meaning of the U.S. Private Securities Litigation Reform Act of 1995, the accuracy of which is subject to risks and uncertainties. Wherever possible, we will try to identify those forward-looking statements by using words such as believe, expect, anticipate, pursue, forecast, and similar expressions. Our forward-looking statements are based on our estimates and assumptions as of today, February 27, 2025, and should not be relied upon as representing our estimates or views on any subsequent date. Please refer to the cautionary statement regarding forward-looking information on the risk factors in our most recent 10-K and subsequent SEC filings, including disclosure of the factors that could cause results to differ materially from those expressed or implied. During this call, we will discuss non-GAAP financial measures, such as organic sales growth. A reconciliation of GAAP to non-GAAP measures discussed in this call is contained in the associated press release and is available in the Investor Relations section of our website, www.lemaitre.com I'll now turn the call over to George LeMaitre.
George LeMaitre: Thanks, J.J. Q4 featured growth in sales of 14%, op income of 26%, and EPS of 30%. Sales growth was led by grafts, shunts and catheters up 23%, 14% and 12% respectively. By geography, APAC was up 21% in Q4, EMEA 18% and the Americas 12%. I'll focus my remarks on three topics, the growth of our sales team, our new international sales offices and our MDR CE mark and regulatory progress. We ended Q4 with 152 reps up 12% year-over-year and we're targeting 165 at 12/31/25 as rep headcount has increased. We've been building out our sales management team. We now have 31 managers up 29%. We believe the sales force is our number one asset, and we will continue to invest in sales managers and offices. Just last week we began shipping products from our new Shanghai office to Chinese customers. The timing of the Shanghai move is appropriate, as sales were up 48% in Q4, and we received our Chinese XenoSure cardiac approval in December. We look forward to launching one of our most important products in the number two medical device market. We should begin selling XenoSure in H2. As for Europe, in December we leased the Swiss office, and we plan to begin shipping products to Swiss Office in June. Shipping from this office should reduce customs complexity, and help increase sales. Switzerland is LeMaitre's sixth largest European subsidiary and this will be our sixth European office. We also continue to push forward with GO Direct projects in Portugal and Czechia, where we believe direct to hospital sales will begin in H2. Both countries utilize the CE Mark and are members of the EU. Poland might be a next logical step. Turning to regulatory we've now received 16 of our 23 MDR CE marks. The seven remaining MDRs should be received in 2025. One of these approvals is Artegraft, our largest U.S. product, which we believe will receive its inaugural CE Mark in H1. We've already received Artegraft's approvals in New Zealand, South Africa, Thailand and Malaysia, and we expect to receive approvals in Australia, Canada, Singapore and Korea by H1, 2026. Also, the Irish and German RestoreFlow Allograft approvals are in process, and we anticipate at least one approval in 2025. These approvals will exit approvals in other European countries. I'd like to thank J.J. Pellegrino, for his exceptional service to LeMaitre Vascular. This is a bittersweet moment for all of us. LeMaitre's we're happy to watch J.J. begin to enjoy retirement, but we'll miss him. For the last 19 years we've been able to enjoy his smarts, honesty and humor and warmth. J.J. has been one of the key architects of LeMaitre's success and will continue on as a Board Director for the foreseeable future. As the saying goes, when one door closes, another door opens. Dorian LeBlanc will step in as our new CFO starting March 10th. Dorian has previously served as CFO at LumiraDx and VP of Finance at Alere, and we're excited to welcome him. With that, I'll turn the call over to J.J. for the 73rd and final time.
J.J. Pellegrino: Thanks, George. In Q4, our differentiated product portfolio, direct-to-hospital model and larger sales team produced 8% price and 6% unit growth by product Artegraft, XenoSure, RestoreFlow led to price improvements. We're often asked about pricing, so here's some additional detail. U.S. list prices increased 6% going into '22, '23 and '24. These list prices resulted in actual worldwide price increases of 8%, 12% and 9%. For reference, the recent January 2025 U.S. list price increase was 8%. The actual 2025 worldwide price increase remains to be seen, as many factors influenced the translation of list prices into actual prices. In Q4, our gross margin increased 120 basis points year-over-year to 69.3%. The increase was a result of higher ASPs direct labor efficiencies, improved RestoreFlow Allograft yields, and restrained quality expenses. We are guiding our Q1 gross margin of 69.7% as we benefit from our January 2025 price increases as well as continued manufacturing efficiencies. Operating expenses in Q4, 2024 were $25.7 million, a 12% year-over-year increase. The increase was largely driven by investments in our sales team. However, hiring outside of the sales force was muted, and our worldwide headcount was up only 6% in the quarter versus the prior year. As a result, Q4, 2024 operating income increased 26% year-over-year to $12.9 million, an operating margin of 23%. We ended Q4, 2024 with $300 million in cash and securities, an increase of $176 million in the quarter. Increase was driven by net proceeds of the convertible offering of approximately $168 million, as well as $10 million in cash from operations. The impact to our P&L in Q4 was minimal. Interest income from the invested proceeds was $430,000 while interest expense was $205,000, which improved EPS by $0.01 per share. In Q1, 2025, we expect total interest income of $3.1 million and total interest expense of $1.3 million, which improves EPS by $0.02 per share. As you recall, we installed the Microsoft D365 ERP system in the U.S. in Q1 of last year. Two weeks ago, we installed D365 at our U.K. subsidiary. In Q1, 2026, we plan to do installations in Germany and Sweden. In another important IT initiative, we will begin to convert our Burlington manufacturing operations to paperless manufacturing, and expect several product lines to be paperless by year end. Separately, on February 18, the Board of Directors approved a cash dividend of $0.20 per share per quarter, an increase of 25%. Our increasing dividend underscores our focus on the bottom line. Turning to guidance, please see today's press release. Although the full year 2025 highlights include, organic sales growth of 10%, gross margin of 69.7%, operating income of $59.8 million, up 15% reflecting a 25% operating margin, and EPS of $2.24 per share, up 16%. Separately, we would like to welcome Nathan Treybeck and Larry Biegelsen from Wells Fargo Securities, who initiated coverage on us a few weeks ago. With that, I'll turn the call back over to the operator for questions.
Operator: Thank you. [Operator Instructions] And our first question comes from Nathan Treybeck of Wells Fargo. Your line is open.
Nathan Treybeck: Hi guys, thanks for taking my question and congrats on a great quarter. I guess if we could just start with guidance. Can you talk about what's implied from a pricing and a volume perspective? You talk about 8% list price increase in January. I guess based on history, how much of the list price increase actually flows through to pricing increase in the year? Thanks.
Dave Roberts: Yes, Nathan, so we gave you some historical info there so you could sort of guess for yourselves what actually happens. But as we said in the U.S. we're looking for sort of 8% as of January 1 this year. Worldwide it's lower outside the U.S. so blended. You can think of it as a lower number. And then the question is, what are you going to get, if you ask for 6% or 7% blended globally, 8% in the U.S. what are you going to get in reality? And historically, over the last two or three years, it's been a bit higher than what we've asked for. But I think that assumption is probably a little aggressive. You might wind up thinking you're just going to get what you asked for. And so, maybe you're at sort of, I don't know, 6%-ish pricing and 4% units, who knows? We'll see. We'll see what that story winds up being, but it's going to play out over time, and historically you've now got the answer that you can use to try and impute for our Q1.
Nathan Treybeck: Okay. Great. And is there any data you could share with us back at say, like how many of your U.S. and European accounts have already been repriced to date?
George LeMaitre: Hi, Nathan, this is George. I apologize, it's tough to hear something about the phone here. Could you try that one more time. Maybe closer to the phone or something?
Nathan Treybeck: Yes, sorry about that. In terms of. Can you give us detail in terms of how many of your European and U.S. accounts have already been repriced and how many are left to be repriced?
George LeMaitre: Sure. Yes, this is George again. All the repricing starts on except for Japan, which is April 1. Everything starts January 1. They've all been repriced.
Nathan Treybeck: Okay. Thank you.
Operator: Thank you. [Operator Instructions] One moment. And our next question comes from Rick Wise of Stifel. Your line is open.
Unidentified Analyst: Hi, this is Annie on for Rick. Thanks for taking our questions. So first I was hoping you could just talk a bit more about your salesforce expansion plans. I think you said you're expecting about 165 reps by year end 2025, about 13 adds for the year. Could you kind of like break that out between International and the U.S., and is this more territory splitting? Are you opening up in new areas? And then one more follow-up. Thanks.
Dave Roberts: Okay. Hi, Annie, thanks a lot for that. Great question. Yes, so you're right, we're thinking about 165 for the end of the year. Also more sales management folks as well here. You're thinking geographically, where should it play out most? And I would say sort of two-thirds of that feels like it's a USA thing. The territories are still too large. And then that leads to the next answer to your question, which is yes, in the U.S. it's largely about just splitting things in half, and having two reps in, let's say Nebraska instead of one rep in Nebraska. There is though some international growth with new markets like we've talked a lot about Portugal and Czechia. There's three more reps that are going in during the year, because of these expansion things. And also Switzerland, we put the office in there. Of course, when you put the office in there, you'd grow the sales force as well. So you got one or two more going in there and so on and so forth. But I'd say two-thirds about United States. North America, I should say. North America.
Unidentified Analyst: Okay. Great. Thank you. And then just on the Artegraft opportunity, I heard you highlight Artegraft as key among your remaining MDR CE marks, and that you're kind of expecting this approval still in the first half. So once approved, kind of, what are you expecting in terms of physician reaction and the speed of adoption? And how will this $8 million European market opportunity for Artegraft contribute to 2025 growth?
Dave Roberts: Right. So real high level. We try not. I mean, guidance is so hard for the whole year you know that. So we don't even have the approval yet. And maybe we'll have it in H1. So with guidance, we really don't breakout the guidance by product line. You're right to be quoting that $8 million number. That's what we've come up with on these phone calls, as what the market opportunity is. And I would say we'll see. We have great faith, and hope in this product line. We bought it as a $15 million device back in 2020, and it's already something like last year. Something like a $35 million or $36 million device, Dave. Something like that. Yes, 36. So we've doubled it over five years here. Four years of full results, I think. Yes, 4.5 years of full results. So we have high hopes, but I wouldn't even hazard a guess. We'll see what happens. It should be nice, but we'll see what happens.
Unidentified Analyst: All right. Thank you.
Operator: Thank you. And our next question comes from Danny Stauder of Citizens JMP. Your line is open.
Danny Stauder: Yes, great. Thanks for the question. Just first on guidance, we appreciate all the color, but could you give us a sense of what is contemplated here for both the high and low ends of the range? Maybe in terms of expected ASP bands, or product launches in new regions? What do you feel could be the most likely candidate for upside or downside of these numbers? Thanks.
George LeMaitre: I'm scratching around for how to answer this question here.
Dave Roberts: Maybe start with an ASP part of it. Like I said, we gave you some data, but ASPs vary a lot by geography, and they vary by product, and they vary by manager in those geographies, who have different stories that they're chasing, and they vary by customers who may be large GPOs that can push back or not. So the ASP thing, I think when you see our band, Danny, of high and low sales of guidance, that's kind of your answer. Within that there is this concept, which is ASPs could come out wherever they come out. In terms of other stories, George, maybe.
George LeMaitre: Yes. I was going to go at Danny with additional data here that might help you sort of. I think we've taken the approach on this call, because the pricing has become a topic that you guys all want to know about, giving you guys the data and then you figure out what to do. We're making a guess. We're making a guidance at 10% organic guidance for the year. But maybe we look back over the last three years, Danny, and watch what we guide. And then what actually happened. So in '22, we guided 8%, we delivered 9%. In '23, we guided 9%. Again, these are full year guidance. At the beginning of the year, we guided 9%, we got 17%. The next year in '24, we guided 9% and we got 13%. And here we are with our highest guidance in a very long time. I don't think we ever guided double-digits. So it might give you an indication where we're going. But again, guiding for a whole year at a medical device company, we're learning is a difficult thing. So I guess you could say we haven't underperformed our guidance in the last three years. Four years that we've been giving you full year guidance organically. So that's a nice fact you could take with you. But we've over-performed it by 8% in one-year and 4% in one-year and one in the other year.
Dave Roberts: Maybe another place to go, for highs and lows is the rep hiring and the cadence of that and the productivity of the reps as they come on board. And so you can think of that as a story that might get you higher, or lower than you think in that range. And I think you hear us being pretty bullish about rep hiring and continuing a pace with the growth of the sales team. And not just reps, Danny, but area and country managers as well. And so, we're investing nicely in all of those groups and hopefully that pushes us. And then maybe a third area to go after is the sort of the five key product lines, Artegraft, XenoSure, RestoreFlow and a couple others if you want to choose. And those all have individual stories that have been pretty robust this year, and more recently in the more recent quarters. And so, those have been good stories too. Danny, I hope you got your question obliquely here.
Danny Stauder: Yes, no, I really appreciate the in depth answer, and that's a lot of color and I appreciate it. And my next one will be a little bit more straightforward, I guess, just on the operating margin progression for 2025. First quarter guide is 23% full year, '25 is 25%. Any more color on how we should think about the phasing throughout the year? Is it a consistent build or just any puts and takes there? Thank you for the question.
Dave Roberts: Yes, Danny, the high level is sales going up call it 10%. And OpEx may be a little slower than that and with a gross margin improvement. And so I think it's sort of maybe in my mind, I don't know, we'll see how this plays out. And obviously we're not guiding on thesis'. But Q1 is typically a little lower number because of the sales meetings that we have. And they're pretty expensive and they're $1 million plus. And so you get whacked with that in a good way in Q1, and then you sort of don't in the following three quarters. So maybe you think about it sort of a little more binary like that.
Danny Stauder: Great. Thanks so much for the questions.
Dave Roberts: Thanks, Danny.
Operator: Thank you. And our next question comes from Ross Osborn of Cantor Fitzgerald. Your line is open.
Matthew Park: Hi, guys, this is Matthew Park on for Ross today. Thanks for taking the questions. I guess starting with gross margin, you called out improved RestoreFlow yields in the quarter. I guess when thinking about 2025, can you kind of walk us through the puts and takes to get to that 69.7% level, and any potential areas where you can get leverage?
Dave Roberts: Yes, I mean, so there's lots and lots that goes through this one number, as you know and maybe some of the good guys are sort of that direct labor efficiency piece. The ops team has been doing a really nice job keeping headcount sort of flat, but producing more units. And so their times to build have improved and their utilization has improved. And all the nitty-gritty stuff that we sort of manage and monitor every day has been doing really nicely. I think that continues. I don't know why it wouldn't. It's probably part of our answer in the guidance piece, the ASP topic we've talked about a lot now. And that obviously helps the margin, and that's a steady answer over the year. Quality costs are one we don't talk about all that much, but they're pretty important, and they make up a decent amount of our cost. But we've been doing a nice job keeping those growth rates of quality expenses pretty muted over time. So that's a good guy. We've done a couple transitions of manufacturing and product lines from somewhere else to here. One was Omniflow product line and then CardioCel more recently. And so as we work through those and those get more efficient, that'll help us out and then RestoreFlow, as you know, has been doing really well. Both sales overall, but also units are up really nicely, and that helps manufacturing costs for RestoreFlow. And then there's some just sort of meat and potatoes cost cutting that's really important to us, as well that we've been having some success with. So I would say those are the good guys on the other side of the ledger, you can think of all the things you think about raises and maybe building new clean rooms. You get some more depreciation coming at you. Sort of maybe a little incremental hiring around management as opposed to direct labor folks, some of those pieces. So materials costs, maybe there's an inflation topic that we went through that's sort of slowing down now. So that's okay. So I would say maybe those are the most of the good guys and a few bad guys.
Matthew Park: Got it. That was super helpful. And then I guess just one more for me on China with , XenoSure receiving approval in December. Can you just walk us through what the initial commercial rollout will look like, and any incremental reps you'll need to hire to support the launch? Thanks.
Dave Roberts: Okay, Great. So I'll go to the rep part of the question first. Obviously it's just China. We have four reps in China. I think we're in the middle of hiring a fifth rep. So this is still quite a small sales force for a 1.5 billion person country. You can understand that. So it's just getting started over there for us. It's always been a sore spot, I think it's finally turned the corner. It's a good thing now as far as the commercial rollout. So you get the approval in December. There is a lot of football to be played between then, and when you get to make your first sale. You have to get your reimbursement, which is happening this month going on right now. And then you have to get provincial listings in all the provinces. I think there are either 36 or 39 provinces. I forget I should know that. And then you have to get your hospital listings. So there's a lot of bureaucracy. It's completely normal bureaucracy. There's nothing worse for this product than any other product. But again, this is to focus on the positive rather than that six month window where we have to wait. This is a big. We've been waiting for this for a long time. We're real excited about it. We're not guiding in 20. We're not making a call out about what it should be in 2025. Probably have better ideas as to what to understand about this product for 2026. as the year goes on. But July is probably-ish when you're going to start selling that in China.
Matthew Park: Got it. That makes sense. Thanks for taking the questions.
Dave Roberts: Thanks a lot.
Operator: Thank you. And our next question comes from Suraj Kalia of Oppenheimer and Company. Your line is open.
Unidentified Analyst: Hi, George, Hi, Dave, this is [Seamus] on for Suraj.
George LeMaitre: Hi Seamus.
Unidentified Analyst: Thanks for taking our questions. And I just want to say to start kind of, what are, you know, any implications from tariffs? I know you guys manufacture most of the stuff within the U.S. but I guess any potential, anything you can walk us through on that, whether you guys are looking at mitigation strategies or it's just not going to be relevant or whatnot?
Dave Roberts: Seamus, it's Dave Roberts. Thanks for the question. Yes, I mean, I think tariffs are a little bit of a moving target. I think presently there's only the 10% tariff on China. But I heard from, from say maybe by March 4 that tariffs in Mexico and Canada would kick in. Who knows? You're right in pointing out that most of our products, almost all the products that we purchase, the raw materials come from inside the United States, and we obviously manufacture here. So for us, maybe some of our suppliers source components outside the United States. But really from that standpoint, the tariffs are going to be fairly light for us. In terms of China, if China retaliates and medical devices are included in that. China accounts for less than 1% of our worldwide sales. So I would say at a very high level we're fortunate that we're a very U.S. based company in terms of how we source our products. And in that respect we're quite protected.
Unidentified Analyst: Got that. Thank you. One kind of quick one in here just on the, on the guidance, I guess you noted, I think six or seven more MDR CE marks are expected through the year. You know, if those kind of come through quicker, those potential, like I guess, kind of, if you can, what's contemplated within the guide and is there potential upside if those kind of come through?
George LeMaitre: So with the first round of these MDR CE marks, the 23 that we're talking about, with the exception of Artegraft, all of them are just reapprovals of the old CE marks we had. So unfortunately there's no real upside except we'll stay on the market and many of our competitors will leave the market, because they didn't apply for MDR. But no, not really. Minus the Artegraft question, which we were asked about at the beginning of this call where, you know, something good is going to happen. We just, we're not putting numbers on it.
Unidentified Analyst: Got it. Completely understand. And then just one last one from our side, M&A I know you guys have been looking at, some cardiac and vascular companies, I guess just to, I know you guys haven't announced anything yet, but just trying to thinking, are you looking for something that potentially is approval in the U.S. worldwide approval, or you'd have to take it, country-by-country. Similar to Artegraft. If you can give us a little more color there? Thank you again.
Dave Roberts: Thanks, Seamus. I'd say we're a little bit agnostic with respect to where the approvals are simply, because our sales channel is so broad. Right now we're directing 30 or so countries around the world. And so, whether it affects whether the sales are focused in the U.S. or OUS, it doesn't matter too much. Of course, we do like it occasionally when if the sales are focused in one country, then eventually we get approvals in other markets. And that can be upside, but that's an investment as well. But I would say not a particular focus with hunting for acquisitions which are, which have revenue concentration in the U.S. versus Europe versus APAC.
Operator: Thank you. And our next question comes from Brett Fishbin of KeyBanc Capital Markets. Your line is open.
Unidentified Analyst: Hi, this is Will on for Brett. Thank you for taking the question. Last quarter you spoke about the hiccup you had with the Ireland facility being held up. Could you provide any detail on the strategy for that going forward and any updates on that? Thank you.
George LeMaitre: Sure. And maybe are you talking about the German inspection of our facility or you talk about you specifically on Ireland right now?
Unidentified Analyst: Yes, specifically on Ireland?
George LeMaitre: Okay. So there's two stories here. They're both parallel. I don't really know exactly what Irish story you're talking about, but I'll give you what our Irish approval strategy is now and what our German approval strategy is. So the hiccup I thought you were talking about was the German auditor didn't show up in the middle of October last year, because he was sick for two weeks. And so we had to wait until that German auditor came to our factory in Chicago in February. The audit has come and gone, and went very well. We feel good. We feel like we're on track. We sort of think we don't know this. You can't ever know with an approval. We sort of think this is a 2025 approval as it relates to Ireland. Maybe the hiccup you're talking about is at first they were just saying. Oh, you can just have a virtual office and we'll give an approval. And then the state of Ireland came back and said, gee, we want you to have an actual brick and mortar office, before we grant you approval. And again, just to catch everyone else up on this. This is all about RFA, the Allograft product line. We have only a U.K. approval in Europe right now and we're trying to get Irish and German approvals. And so with that. On that score, Will on that score, we definitely feel like we're getting more and more committed to having an Irish brick and mortar office, with all the cryo tanks, et cetera, in order to pursue Iris approval and German approval. Both of those approvals, I don't know, maybe you got a 50-50 chance at getting each one of them this year. So in all, we wrapped it all together in the guidance today, and we said we're probably going to get one approval this year, either Ireland or Germany for RFA. And then of course, the upside here is approvals in either of those countries could then lead, or will likely then lead to places like Holland, Spain, France accepting the Irish approval or accepting the German approval and giving us an approval in their country. Do you think I got your question well, okay?
Unidentified Analyst: Yes. Thank you. I appreciate the color on that.
George LeMaitre: Thank you. Thanks for the question.
Operator: Thank you. Our next question comes from Frank Takkinen of Lake Street Capital Markets. Your line is open.
Frank Takkinen: Great. Thanks for taking the questions. Congrats on progress. I was hoping to hop back to the salesforce a little bit. Could you refresh us on headcount by geography and then maybe talk a little bit more about U.S. kind of longer term hiring plans? Do you feel this cadence of hiring is one that continues for a number of years, or do you eventually feel like there's going to be a spot where you plateau, and you really focus down onto utilization?
George LeMaitre: Right. And maybe that maybe to get to the end of that question, it all depends if we get into Cardiac or not. If we stay with Vascular, it's a different story. If we get into Cardiac with another with a big acquisition, obviously we're going to be doing a lot more cardiac hiring, because we're sort of starting from scratch here. But as it relates to where they are right now, the bigger hiring in the quarter in Q4 took place in the U.S. We're up to 74 reps. We only added one European rep. We're up to 51 there. And we added one in Asia, PAC to get to 27 there. That all should add up to 152 right now. And then we're talking about the cadence for the year. We added 16 reps in '24, and we're looking to add 13 reps in '25. I would say in general, I think the cadence continues for what I'll call the foreseeable future. Around the world, the territories are still, on average $1.4 million, with the U.S. being a lot larger than some of the Asia PAC and European countries. So to get back to the question that I was asked at the beginning by Annie, I think that the hiring, is more of a U.S. thing, and I think it's more about splitting these territories. And we keep chasing this number, which is maybe a regular rep should be carrying $1.2 million or $1.0 million of revenues. It's just too much for them to carry $2 million. And a lot of Americans right Now are carrying $2 million. It's too big of a burden for them, and they can't go chase new business if that's the case.
Frank Takkinen: Okay. That's helpful. And then maybe just for my second one, was hoping you could talk a little bit about crowded shunts. Obviously, that was really strong throughout all of 2024, if I remember correctly. I think there was a competitor that exited the market, but maybe kind of refresh us on the strength behind shunts in the year and then is that something you think can continue in 2025?
George LeMaitre: Right. Yes, the shunts were great. This year they were up 14%. We called them out on the press release as the second best category. It's not our largest category. I think we have five categories right now, and it's one of the smaller categories. But it had a fantastic year, sort of wire-to-wire. And a lot of it, as you're pointing out, was not one, but a couple competitors left the market, particularly in Europe, because of the CE mark. It's sort of a smaller market. Obviously, if it's one of our smaller products, it's probably a smaller market. And we are starting to get up into sort of the high market share percentages. So it was nice to see the competitors leave. And we've worked hard to take advantage of that and keep on making the product. And some of the pricing maneuvers that we've been doing have been helpful as well.
Frank Takkinen: Perfect. Thanks for taking questions.
George LeMaitre: Thanks a lot, Frank.
Operator: Thank you. And our next question comes from Michael Petusky of Barrington Research. Your line is open.
Michael Petusky: Hi. Good evening. So, David, on the, the balance sheet that's sort of been bolstered by the cap raise in late in '24. I mean, has that changed at all the assets that you have sort of, been looking at, or maybe new assets that you're looking at as a result of the increased firepower? I'm just curious if that's changed your focus at all just in terms of sizing, I guess?
Dave Roberts: Yes. Mike, nice to hear your voice. It's funny, I feel like assets change the balance sheet insofar as whereas last year. We had put out a term sheet, I'll just say in excess of $500 million. And obviously that didn't come to pass, but it really highlighted the importance for us of adding capital to the balance sheet. In addition, there have been a couple sales of businesses, which took place where I think LeMaitre wasn't considered as a part of the process. Because before the convertible bond issuance that you're referring to in December, we just didn't have as much cash as a lot of other larger companies. So but I will say, what the extra $172.5 million of cash does is it does enable larger acquisitions. I'll also say that, and I think I've said this before on these calls, I'd rather do a strategically sound, good small acquisition than a large acquisition. Where my resolve isn't quite so high in the company's resolve. So we're very much waiting for our pitch. We love having the optionality of more cash on the balance sheet, but we are waiting for our pitch.
Michael Petusky: Okay. Great. And I love the George, what you shared in terms of list price and then sort of how things played out. I am curious though, because it felt like sort of during that time period you gave us, you had started to introduce those pricing floors. I'm just wondering if sort of the bump that you got is less likely to repeat, at least in terms of the amount relative to the list price. Because the pricing floors have. You've gone down that track for a few years now and I would think there would be less opportunity there. I was just wondering, if you could comment on that?
George LeMaitre: It's a good angle on it. I think the million dollar question here, around here is how long does LeMaitre's excellent pricing action work? So you could say that the pricing force will wear out at some point. Except if we did just put across, what do we say, J.J. 8% list price in the U.S. sort of higher than the sixes that you heard about in '22, '23 and '24. So yes, you do have the pricing discipline looking backwards. But with the whole company coalescing on these pricing floors, and then the management puts out an 8% price increase in the U.S. You would think that that would give you something going forward. It's going to be seen. We're going to see. Like I said, it's really hard to do guidance at a medical device company for a whole year on organic growth. But it feels like we've been pretty good about keeping our promises with the guidance around here sales wise for the last four years.
Dave Roberts: Mike, I'd say something a little more maybe, I don't know if the word systemic is the right word, but high level certainly about it. Which is if you're in niche markets and you're owning your niche markets, and you've got differentiated devices that sell at a premium, there's always going to be stories around pricing that's probably a little bit more favorable than we see at our peers. And so for now, it might be a floor story for a while. It was an Artegraft story. Remember we bought those devices and we brought those prices up. I think it was a healthy increase in the first year, and then healthy increases after that. It slowed down and so that was like a two and a half year story. And then before that you were around. You remember we did a valvulotomes sort of NextGen device some years before that and that was a two year good story. And so we give you the five previous years in the corporate presentation. They're not all the same. They're jumping around over time. It's what, like 6% to 8% or whatever it is. And it's going to bounce around depending on the stores. But it all lives under, I think, a nice strategy for pricing which is small niche markets with differentiated devices.
Michael Petusky: All right, well, I'm glad J.J. weighed in there. Congratulations on your 73rd and final conference call. I think I've been around for just a little over half of them. Congratulations.
George LeMaitre: Mike, can I give you three numbers before you get off the call?
Michael Petusky: Absolutely.
George LeMaitre: 2.478 depreciation amortization million, 1.739 stock-based comp, and 2.044 CapEx.
Michael Petusky: You're a pro. Thank you.
Dave Roberts: There you go,
George LeMaitre: Mike. Thanks a lot. Is that it, Mike, from you?
Michael Petusky: Yes. That's all. That's all I have. Thanks.
George LeMaitre: Thanks for your question.
Operator: Thank you. And our next question comes from Jim Sidoti of Sidoti & Company. Your line is open.
Jim Sidoti: Hi J.J. I don't think I want to admit how many of the calls I've been on, but you will be missed. I know.
George LeMaitre: I was trying to get George not to put the number down, but he did it anyway. Dave, I'm sure you've had bankers coming in for the past three or four years trying to sell you a convert deal. What made you decide to do it in December?
Dave Roberts: Well, hi, Jim. I would say there are. When I look at our pipeline, as I looked at our pipeline going to the back half of last year, thinking about the larger deal that we took a run at, but also other deals in the pipeline just felt like there were more, larger acquisition targets in or around the pipeline. And then on top of that, LeMaitre obviously had, has a lot of business momentum and the cost of capital is always lower when you don't need the money. And we didn't like, we didn't have our backs against the wall, so we could be deliberate about it. And then also, I guess the third piece was the convert market was receptive, to a high quality issuer like LeMaitre. So, between the pipeline and the underlying core LeMaitre business and the market, it just seemed to make sense. We did consider term debt, but, we got the convertible notes we issued have a 2.5% coupon, and that's just much lower than we could get as we, considered other forms of financing. It's less dilutive than equity, et cetera. So it seemed to make a lot of sense to us, and we're delighted we did it.
Jim Sidoti: And the numbers that George put out in terms of, or maybe J.J. put them out in terms of that interest income, interest expense going forward, was those GAAP numbers, or were those cash numbers? And will the GAAP numbers be different from the cash numbers because of the convert?
Dave Roberts: Yes. So that's what's in our forecast for Q1, Jim. Total interest income of 3.1 or so and total interest expense of 1.3. That includes amortization of the deal fees themselves. So those are GAAP numbers? Those are GAAP numbers. And the reason I was hesitating is because I think, as you know, we have to do two EPS CLCs, blah, blah, blah, to satisfy the requirements of GAAP and figure out which one to use. But yes, those are GAAP numbers, essentially.
Jim Sidoti: All right, and then last one, what was the operating cash flow for the quarter?
Dave Roberts: The operating cash flow was $14.6 million, largely the net income of $11.2.
Jim Sidoti: Got it. All right, thank you. And once again, J.J. you will be missed.
J.J. Pellegrino: Thanks very much, Jim. I appreciate it. It's been fun working with you.
Jim Sidoti: Yes.
Operator: Thank you. Ladies and gentlemen, that concludes today's conference. I would now like to thank you for your participation, and you may now disconnect. Have a great day.